Operator: Good afternoon. My name is Patty, and I will be your conference facilitator. At this time, I would like to welcome everyone to the Intuit Third Quarter 2010 Conference Call. [Operator Instructions] With that, I'll now turn the call over to Jerry Natoli, Intuit's Vice President, Finance and Treasurer. Mr. Natoli?
Jerome Natoli: Thanks, Patty. Good afternoon, and welcome to Intuit's Third Quarter 2010 Conference Call. I'm here with Brad Smith, our President and CEO; and Neil Williams, our CFO. Before we get started, I'd like to remind everyone that our remarks will include forward-looking statements. There are number of factors that could cause Intuit's results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2009 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit's website at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in this report are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP numbers in today's press release. Note also that the sale of our Real Estate Solutions business completed in January is accounted for as a discontinued operation. These results are excluded from the operational results, operational guidance, figures and non-GAAP EPS for all periods presented. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I'll turn the call over to Brad Smith.
Brad Smith: Hey, thanks, Jerry. Thanks to all of you for joining us. We realize the market's little volatile today, so we appreciate you taking the time to join us on the call this afternoon. We just announced another quarter of strong results, with both revenue and non-GAAP earnings per share growing 13%. Both measures exceeded the top end of our guidance. And we drove strength across-the-board highlighted by great tax season, a return to double-digit revenue growth in small business and continued strong performance in Financial Institutions. These results lead us to once again raise our revenue and earnings guidance for the year. We now expect full year revenue to grow 10% compared with our prior guidance of 6% to 9%, and we expect full year non-GAAP EPS to grow 12% to 13% compared with our prior guidance of 8% to 12%. We're clearly pleased with this performance. While a lot of things in the macro environment have changed over the past couple of years, our company's mission has not. We remain laser-focused on improving our customer's financial lives and doing it so profoundly that can't imagine going back to the old way of doing things. This sense of purpose and the value proposition that we deliver resonate in any economic environment and it generates the kind of results we're sharing with you today. Now we've also worked hard to position Intuit to take advantage of the secular market trend that will serve as catalysts for long-term growth. These trends include the demographic shift to the digital generation, the increasing relevance of social networks and user contribution within large user bases, the emergence of web and mobile technology as a primary means to manage key tasks and the potential of new market opportunities and the rapidly developing economies. The end result is a global market that is shifting from traditional services that were paper-based, human-produced and brick-and-mortar bound to one where people understand, demand and embrace the benefits of truly Connected Services. This shift from traditional to Connected Services provide the tailwind for our businesses, and it positions us really well to execute on our three-point growth strategy which, as you know, includes the: first, driving growth in our core businesses; second, building adjacent businesses and entering new geographies; and third, accelerating our transition to Connected Services. Here's a look at how we're performing in each area, beginning with driving growth in our core businesses. We had an excellent tax season across-the-board. Consumer Tax revenue was up 12% in the third quarter. The software and online category grew nicely, and we increased share in both the desktop and web-based unit this year. Our Accounting Professionals business had a strong season as well, and our successful introduction of TurboTax Online Banking added about 12 points of growth to our Financial Institutions segment. In Small Business, Financial Management Solutions revenue increased 16%. We saw strong growth in QuickBooks for the desktop, QuickBooks Online and QuickBooks Enterprise. The improved mix and fewer promotional discounts have continued to strengthen our average revenue per user. Employee Management Solutions, also known as Payroll, grew revenue 13%, as we continued building momentum and adding Online Payroll subscribers. So overall, I'm really pleased with how each of the core businesses is performing. The second part of the strategy is building adjacent businesses and entering into new geographies. In the third quarter, we made really good progress here as well. Intuit Websites grew the number of small businesses using these services by 80% in the third quarter. We now have more than 300,000 website customers and most of them are new to our small business franchise. This gives us a new front door to cross-sell other products and services like electronic payments, Online Payroll and eventually, QuickBooks. In healthcare, we recently announced that we signed an agreement to acquire Medfusion and their patient-to-provider communication solution. Now think of this as a small business portal that doctors and other healthcare providers can use to make it easier for their customers to schedule appointments, look up the information, exchange secure messages and pay their bills online. This transaction expands our portfolio of Software-as-a-Service offerings with a solution that is currently used by more than 30,000 healthcare providers, the majority of whom are small businesses. Medfusion also gives us a new recurring revenue strength that capitalizes on this shift from traditional services to Connected Services in the medical community. The acquisition strengthened our Intuit payments capabilities which are offered inside this portal today to enable online bill payment. And in addition, it's going to open the door to sell Medfusion services into the 75,000 medical practices that currently use QuickBooks. When you roll it all up, it presents a range of exciting, new opportunities in the healthcare space. And with respect to new geographies, our Global business remains on track. We're gaining traction with our Intuit Money Manager products in India and now have more than 35,000 users and more in test market of their second offering as we speak. Though our efforts in the emerging market don't generate significant revenue today, we're excited about the longer-term opportunities and believe Global could add a couple of points of growth at the company level in the next few years. The third and final part of our strategy is accelerating our transition to Connected Services. As you recall, we defined Connected Services as three types: the first is software-advantaged services, where offerings like payroll or payments gain a competitive advantage by working seamlessly with our software. This reduces our cost of new customer acquisition and improves the customer experience to ease-of-use. The second type of Connected Service is Software-as-a-Service, where Intuit currently holds the number one share position in each of our core businesses. And the third is the emerging Platform-as-a-Service, where we see increasing opportunity to open our technologies for end user and third-party contributions like our recently announced Intuit Partner Platform. These Connected Services had been fueling our company's growth and it's where we believe we can continue to grow faster. Software-as-a-Service by themselves generates roughly 1/3 of our revenue. This includes TurboTax Online, our Online Banking, Small Business accounting, Online Payroll and Intuit Website offerings. There are only a handful of companies that earn more than $1 billion in Software-as-a-Service revenue annually, and even fewer will do it profitably. We're one of those companies. Combined, the three types of Connected Services generate almost 60% of our revenue. That's up from 56% just 12 months ago. This revenue has grown 18% year-to-date and it's profitable. You can see that our operating margins have expanded over 200 basis points in the past two years as the shift to Connected Services has accelerated. So with that context to explain what's driving our performance, I want to turn it over to Neil to share the financial results.
R. Williams: Thanks, Brad. Let's start with company-wide results for the third quarter. Revenue of $1.6 billion, up 13% and above the top end of our guidance range. Non-GAAP operating income of $938 million, up 12% and non-GAAP EPS of $1.89, up 13%. On a GAAP basis, operating income was $888 million, 16% above last year. GAAP diluted EPS was $1.78, up 21%. Growth in our GAAP earnings is higher than non-GAAP because acquisition-related charges and non-cash stock compensation, which are classified as GAAP only, are growing slower than revenue. Year-to-date, the non-GAAP operating margin is up 90 basis points. The margin for the third quarter of 2010 reflects an increase in incentive compensation directly related to our financial results and an increase in our bad debt expense. The change in both of these accounts from the same period last year totals about $30 million, [indiscernible] (22.04) an increase primarily in our G&A expense as a result. Still, we expect to deliver more than 100 basis points of year-over-year margin expansion for the full fiscal year. Turning to the business segments, our Consumer Tax group generated revenue of $871 million in the third quarter, up 12% from last year. Total units were up 11% for the season, with web units up 18%. We grew revenue per customer by driving improved conversion from free-to-pay and improved product mix, as well as by increasing attach rates. We're pleased with our performance in a tax season when it appears that the total number of individual returns declined for the second consecutive year. By our estimates, we gained a couple of share points in both desktop and online. The Accounting Professionals segment topped off our solid season, with revenue of $205 million, up 15% from last year. And we previously told you about revenue shift of $9 million that was deferred from the second quarter to the third quarter. The segment would've grown roughly 10% in the third quarter if not for that change. In our Small Business group, total revenue grew 13%. The growth was driven by Financial Management Solutions, up 16%; the Employee Management Solutions, up 13%. Financial Management Solutions revenue grew for the first time since the first quarter of fiscal 2009. Revenue per customer exceeded last year's level, driven by fewer promotional discounts on QuickBooks and a better product experience as indicated by improved net promoter scores. QuickBooks Online and Enterprise also had strong quarters, and Intuit Websites continues to grow exceptionally well. As we've noted previously, we believe the most cost-effective way to bring small businesses into the franchise is through these online channels. We have de-emphasized free QuickBooks Simple Start and those unit numbers have declined accordingly. Intuit Online Payroll continues to power growth in our Employee Management Solutions business, and payments grew 8% year-over-year, driven by a 16% increase in merchants. Charge volume from merchant was up 1% in Q3 and that compares to a 3% decline in Q2 and a 9% drop a year ago. We're clearly seeing improvement in consumer spending and we expect growth to accelerate as the economy continues to recover. The Financial Institutions segment continues to perform very well with another strong quarter of double-digit growth. Revenue grew 21% and bill pay users grew 16%. Over 1,100 financial institutions actively offered TurboTax for Online Banking this tax season, which added roughly 12 percentage points to the segment revenue growth in Q3. We report revenue for TurboTax for Online Banking in the Financial Institution segment though the units are included with the TurboTax Web totals. Looking ahead to the fourth quarter, Financial Institutions won't have the benefit of tax season revenue, so revenue growth will likely return to single digits. Our Other Businesses segment posted revenue growth of 20% in the third quarter, driven primarily by strength in Personal Finance and a favorable foreign currency impact in our Canada and U.K. businesses. The Personal Business segment continues to benefit from a strong new Quicken desktop release and the Mint.com acquisition. We continue to generate strong cash flows in line with our operating income. Free cash flow increased more than 40% through the third quarter and we exited the quarter with $1.9 billion of cash and investments. We first look to invest our cash in the business to generate growth. We weigh both internal and external investments carefully and expect all of our investments to generate our risk adjusted return of 15% to 20% over a five-year horizon. We expect to maintain approximately $1 billion of cash and investments to ensure we have the liquidity we need to run the business and to take advantage of strategic opportunities as they arise. This amount may fluctuate by $500 million based on the seasonality of our business and on other changes in business conditions. Resources that are not invested, as I described earlier, or maintained for general liquidity will be returned to shareholders. In the past, share repurchases have proved to be the most effective way for us to do this. We purchased $200 million of Intuit stock in the third quarter and have $150 million remaining on our current authorization. As Brad mentioned, we're updating our outlook to reflect the stronger-than-expected tax season. For fiscal 2010, we now expect revenue of $3.41 billion to $3.425 billion, growth of 10%; non-GAAP operating income of $1.065 billion to $1.075 billion, growth of 15% to 16%; GAAP operating income of $840 million to $850 million for growth of 23% to 24%; non-GAAP diluted EPS of $2.03 to $2.06, growth of 12% to 13%; and GAAP diluted EPS of $1.69 to $1.72 for growth of 25% to 27%. For the fourth quarter, we expect revenue of $492 million to $507 million, an operating loss on a non-GAAP basis of $29 million to $39 million, a GAAP operating loss of $77 million to $87 million, a non-GAAP loss per share of $0.10 to $0.11 and a GAAP loss per share of $0.20 to $0.21. As mentioned earlier, we now expect Consumer Tax full year revenue of $1.12 billion to $1.125 billion, which is growth of 12% to 13%. All guidance figures include the impact of the purchase of Medfusion, which is $0.01 diluted in fiscal year 2010. We're also assuming the R&D tax credit will not be renewed during this fiscal year, which is a change from our prior outlook. In addition, our share count will be slightly higher than we originally expected. Excluding the impact of these three items, we would expect EPS to be about $0.03 higher for 2010. And with that, I'll turn the call back over to Brad.
Brad Smith: Thanks, Neil. Let me share a few closing thoughts before we open it up to Q&A. Now when the economy turned foul, we said that we were going to deliver against our current period expectation, while continuing to make strategic investments to ensure that we could exit the downturn even stronger. Over the past two years, we've done that, and made the necessary investments in skills, products and capability that will benefit our company for years. This include the leaders and the technical talent that we've hired. We strengthened our engineering talents over the past two years to a mix of internal promotions and external hires in the U.S. and globally. We've brought in talented new engineers with Software-as-a-Service, data analytics and mobile platform experience, some through recruiting and some through acquisitions such as Mint, PayCycle and when it closes, Medfusion. We've become more effective and efficient with our R&D investments. We've internally developed technology that improves the usability of our products, add mobile capabilities and readies them for global deployment. As a result, we've improved our net promoter scores across our major product lines. We've increased our revenue per user through the additional value we've built into the products and we've gain the market share on our core businesses. And perhaps, as important, if not more important, we've continued to do this while improving our R&D efficiency as a percent of overall revenue year-over-year. When you put it all together, we're stronger now than when the recession began. Our customer base is larger, our new product pipeline is deeper and our operating margin is healthier. I'm proud of the performance we've turned in this quarter, and I know we can do even better as we take full advantage of the shift from traditional services to Connected Services and continue to deliver the revenue growth and the margin expansion to our shareholders. I want to thank our employees for another great quarter and for all they're doing to position the company for continued success in the future. And with that, we'd like to turn it over to you for your questions.
Operator: [Operator Instructions] Our first question comes from Adam Holt of Morgan Stanley.
Adam Holt - Morgan Stanley: My first question is about the Financial Management business. Obviously, the best numbers that we've seen in a long time there. I guess two questions for you. You pointed this some company-specific execution in terms of what you thought was the driver there, but have you seen any signs that would lead you to more optimism from some of the key indicators that you look at in terms of whether it's job hiring or starts or what have you. And then as you look forward, how do you think about some of the key leading indicator for the SMB market in general?
Brad Smith: Yes, we are seeing some leading indicators that lead us to believe things are getting healthier, although more modest than many people would like to see. For example, the first thing we look at is whether Small Businesses have customers shopping in their stores and our best proxy is average volume per merchant to our Payments business. And as you heard, it was up about 1% this quarter compared to being down three points last quarter and being down nine points a year ago, so we're starting to see a healthier improvement of consumer spending. The second is whether that's leading small businesses to begin hiring again. And as you know, we have our own Small Business Employment Index based on 55,000 small business customers that use our online product, and we've been able to see this starting about June of this past summer, they've began to hire again at a rate of about 4% a year and they added 66,000 jobs in the month of April. So that's good news. I will still admit that we haven't heard the ease of getting loans and getting access to credit really loosening up, so there's still a little bit of a headwind there. But despite that, we're starting to see a little more healthier signs in the market from a macro perspective.
Adam Holt - Morgan Stanley: If I could shift to the Payments business because you brought it up. It sounds like you had well into the mid-teens in terms of merchant adds. You had same-store sales growth of 1%, but I think the combined sort of number for total payments was not what it would be if you added the two of those number together. Can you maybe help me with the math there as to what I'm missing on those elements?
Brad Smith: There's two things at play. The first is, we're starting to open up new front doors to our franchise, like attaching payment to our website products or actually selling through non-QuickBooks channels. And the good news is, we're capturing customers earlier in their life stage. We're getting them when they're in the early formation and they don't always carry the average volume per merchant that a more established small business will. But as you know, we're in it for the lifetime value. And we see these customers are profitable today and they will only continue to grow as they get healthier. So that's one piece that you see. It's a little bit of a mix change in the payments merchants we're bringing in. The second is, we actually have as a part of this Payments business a point-of-sale product, it's a bundled hardware and software product and we reported as a part of this business. And in the second quarter, it attributed to about five points of our 14% growth, because last year in the same quarter, it had a pretty easy compare. So this quarter, it may look like sequentially, this business is going down but it's literally where we thought it would be, as charge volume continues to improve and we continue to add new merchants. We've got a little bit of a mix change in terms of some smaller merchants coming in, but this business continues to get healthier and it will only do so as charge volume improves.
Adam Holt - Morgan Stanley: You're going to have a lot of margin expansion this year. If we start to think about fiscal next, what kind of broad-based margin target should we be thinking about?
Brad Smith: Adam, we'll be providing our outlook for fiscal year '11 in August. As we continue to talk, our goal is to grow our revenue faster than our expenses and we see that operating leverage in this business for many years to come and we'll talk about the specifics of exactly how much margin leverage and expansion we'll get in fiscal year '11 when we come out in August.
Operator: Our next question comes from Gil Luria of Wedbush.
Nick Setyan: This is actually Nick Setyan for Gil. Would you please remind us again what the international portion within the Other Businesses segment is? And then maybe tell us what the contribution from PayCycle was in the quarter?
R. Williams: This is Neil. The contribution from PayCycle is about 9%, so we've been up about 4% organically without PayCycle. And the international portion's about 3% of our total revenue, 3% to 4% comes outside the U.S. and most of that's Canada and U.K.
Operator: Our next question comes from Kash Rangan of Merrill Lynch.
Kash Rangan - BofA Merrill Lynch: Brad, I know that for a few quarters, you've been talking about how you had this pipeline of deals in the Financial Institutions sector, and the implementations were lagging the customer's intentions to go ahead with these products. Can you give us an update on whether you're seeing a thawing of those deals in the Financial Institutions sector.
Brad Smith: Sure, Kash. So we are starting to see that pipeline move through. We continue to have a robust pipeline. We don't report backlog like some other businesses do, but in this particular business, we're starting to see the Financial Institutions move forward with their implementations. Good news is, as you heard, with TurboTax Online Banking, we had 1,100 financial institutions sign up for that product this year, which was unheard-of on the base that we have. We have about 450 financial institutions that have signed up for the FinanceWorks product that continued to increase. So we're starting to see the implementations happen and that's good news, because that gives us a feeder base to continue to sell Online Banking and bill pay and other services.
Kash Rangan - BofA Merrill Lynch: And also just following up on Mint.com, although it's not material enough to break out revenues, what kind of impact is Mint having on the Quicken business and other ancillary businesses as you really try to leverage the web-based interface and functionality with other parts of your product family?
Brad Smith: Yes. It's on track. In fact, this year, this quarter, the number of new registered users is 2 1/2x greater than it was this time last year in Mint, so it's getting a real benefit of being a part of the Intuit family. This year, the first integration we have was integrating it with TurboTax and now the team is focused on making sure that we continue to look for new ways to monetize the product opportunities, as well as looking at global opportunities. So today, it's impacting that other Financial Services segment or the Other Business segment. It's relatively modest but growing quickly, but the strategic opportunities are just as exciting as we thought when we brought them into the company.
Operator: Our next question comes from Heather Bellini of ISI.
Heather Bellini - UBS: You guys were very successful this year. It looks like gaining a lot of share in the Consumer Tax market. I guess I just wanted to know, I know next year is a long way is the way. But just wanted to know kind of how -- if you see that having potential for the share gains to continue, or do you just think it took advantage of some hiccups in your competitor's business model this past year?
Brad Smith: I would say, first of all, go back to what we talked about when we have our Investor Day meeting in September, there are four levers in this business. The first is the number of tax filers filing with the IRS; the second is the growth of the category, which is the online and desktop software category; the third is our share within that category; and the fourth is the average revenue per user that we can capture. This year, the number of people filing with the IRS was down what we thought it would be, about a point or two. That's a few million filers. Despite that, we saw a continuation of what it's been a six-year trend, which is people are moving out of tax stores and into the do-it-yourself category. And the category this year grew nicely again. In addition to that, we've continued the trend that we focus on, which is capturing share within that category and we picked up a couple of points in desktop and we also picked up share online. And then finally, we were able to increase our revenue per user by continuing to get better at free-to-pay conversion, as well as having more favorable mix in attach. So we'll talk more about fiscal year '11 in August, but I would say that the secular trend that moving the category, the growth will continue to happen in the category and we're going to continue to execute and try to gain share as we have for several years, and we continue to get smarter at how we can drive better free-to-pay conversion and better mix. So we're looking forward to continuation of what has been the reality for the last few years.
Operator: Our next question comes from Bryan Keane of Credit Suisse.
Bryan Keane - Crédit Suisse AG: I just want to follow up on that question. The price gap widened two years ago and some of the competitors gained some share. This year it tightened. I think price was pretty close, especially on the desktop and you've gained a lot of share. So I guess, what are your thoughts about price sensitivity? I know HRB struggled this year. They're likely or do you think they're likely to cut price again to try to gain back their share going into next year?
Brad Smith: Yes, Bryan, I'd first separate the two categories of the self-prep tax, as you know, the desktop category which is primarily us and Block in retail. And then there is the online category, which is a whole cadre of competitors, and the entry-level price there is free. So as you know, we've got a pretty good free model out there, that we've been able to continue to increase revenue per return and not have anyone undercut us on price. In the desktop category, it's the category that's now just about a third of the tax filings for us and it continues to decrease year-over-year. And we have a pretty good sense for what the price premium is that we can command over our competitors in the Retail segment and continue to hold share or grow share. So net-net, in terms of price sensitivity on the web, it's harder to go deeper than free, and we feel like we've got enough learning into our belt after four years of doing this that we can continue to grow our share and grow that category. And in terms of the desktop, we like the fact that we have a pretty good product in the marketplace relative to others, and we know what the price premium is that we can command. And we'll make those decisions to continue to keep our share at the Retail category as we go into next year.
Bryan Keane - Crédit Suisse AG: Just turning over to QuickBooks. The strategy for a long time was to drive units in QuickBooks, push Simple Start and then cross-sell them and promote the Small Business set of products. It really feels like the strategy has changed. Now it's let's not promote free, let's not promote Simple Start and let's drive less units but at a higher price. So I was just looking for some color. I don't know if I got that right. And just kind of the strategy behind it, why the switch?
Brad Smith: Yes, I would tell you, you did get it right in terms of what our historical strategy has been. But it's not a shift in strategy. It's the change in how we execute it. And let me say it simply, we've learned the best way to get someone into the franchise of the low-priced products and then help them unlock more value that they're willing to pay for as in the online product versus desktop, just like we do in TurboTax, just like we do in Payroll Online. And we had a blunt instrument with Simple Start over the desktop product, and then we had to try to get at you in different ways to get you to move into a pay category. So we've shifted the emphasis from Simple Start over to our QuickBooks Online edition, and we're seeing really good growth. That product was up 32% this quarter in terms of new customers over a year ago. Our strategy in Small Business remains the same and that is to get you into the franchise, and then we've proven we can increase the revenue per customer over 3x over a five-year period. And that's going to be the same strategy going forward, but simply leading now with other products like Websites and QuickBooks Online instead of leading the Simple Start.
Bryan Keane - Crédit Suisse AG: So was the unit numbers that you got in the third quarter, was that what you're expecting or what you're hoping for? Or do you still hope to drive more units?
Brad Smith: We're seeing a continuing strengthening of unit growth both in the pay category and the desktop, as well as online. And I would tell you that it is exactly as we thought it would be in terms of the shift from Simple Start to online, and it was a little healthier than we had anticipated in terms of the total number of units, and we think that's going to continue as the economy continues to recover.
Bryan Keane - Crédit Suisse AG: Neil, the operating margin was down, I think, year-over-year. And you had an explanation there, I just didn't catch all of it.
R. Williams: Yes, Bryan, there are two pieces to that. One is that in the third quarter last year, when it was apparent we weren't going to make some of our operating targets, we took our incentive compensation accrual down. This year, we've got it at a more normalized level, so that's a pretty significant swing in the third quarter. The other item I mentioned is that we had some bad debt expense related to our Consumer Tax business that in absolute numbers is miniscule, but it's a pretty big increase from last year. So that drove part of it. And in summary, both these items are about $30 million. That's not a big number, but they both show up in the third quarter, so it makes a kind of an awkward compare. Like I've said, on a year-to-date basis, you're still going to see over 100 basis points in margin expansion this year.
Operator: Our next question comes from Ross MacMillan of Jefferies.
Ross MacMillan - Jefferies & Company, Inc.: Just going back to Payments, would you expect over time that the combination of merchant additions and charge volume growth would effectively combined to kind of -- if you will, adding those two together longer-term would drive the right assumption around growth rate? And maybe if you can maybe just talk to some of the puts and takes? You mentioned the POS system, but any other things we should think about in terms of influencing the growth there?
Brad Smith: Yes, Ross, I'm going to take a stab at this. And then if Neil or anybody else has anything to add, I'll ask them to join me on the answer. We see this business as a good double-digit growth business over the long-term. It continues to be one of our fastest-growing businesses in the franchise, and we have tons of headroom. As you know, we have low single-digit penetration into the QuickBooks space, and we're starting to introduce new front doors like Medfusion or Intuit Websites that we can attach online Payments to. And so it's got nothing but lots of opportunity ahead of it. The headwind we've been fighting is the fact that consumers are simply have been using their credit cards and debit cards less through this recession. And now they're starting to get a little more confident. They're starting to use those again when they make purchases. So when you combine the fact, we've continued to grow our new merchants at double-digit through this downturn and add to it the fact that the charge volume is starting to recover and, finally, the fact that we're continuing to open new front doors that we can attach Payments to, that spells really solid opportunity for us, and we think it's a good double-digit grower for many years to come.
Ross MacMillan - Jefferies & Company, Inc.: And on the Payroll side, how levered is that to improving employment within SMBs as opposed to just net new Payroll customer acquisition?
Brad Smith: Well, as you know, our pricing model is a fixed fee versus a per employee fee, which is what ADP and Paychex and a few others offer. So if you have volatility in terms of either hiring or layoffs, we feel less of that impact than they do because we're literally you pay a price if you have fewer than three employees or you pay a price if you have more than three employees. So the good news is we have a hedge. With that being said, if there are small businesses that are starting up today and they're starting up as a sole proprietor without employees day one, we're going to feel that impact in the Payroll business for a period of time until they add that first employee, and they decide they need to find a way to pay them. So that's why we've been able to remain relatively strong in our Payroll business, and others have had a little more of a tough time in this downturn, because we have a business model we think resonates well even in a tough economic environment.
Ross MacMillan - Jefferies & Company, Inc.: And then maybe just one for Neil. Your gross margins this year have been pretty strong relative to last year, particularly in Q2 and Q3. Is that something which could be a continuing trend? Or how should we think about gross margins as we go forward in the business?
R. Williams: Yes, Ross, there are a couple of things driving that, that you need to be thoughtful of. One is the shift to online services and connected services that we've talked about is clearly enabling some expansion of the gross margins. And so as we see more customers shift over, we were able to leverage our existing ecosystem. Our customer acquisition costs are relatively low. That's going to be a help to us. And the other thing, too, is that we've been on a resource allocation journey for a couple of years, where we're trying to get better and better about matching the dollars we spend to things that really do generate revenue. And we've made some pretty big adjustments the last couple of years, and I think you're beginning to see those pay off. And we're continuing to look at the dollars we invest internally to make good decisions about the returns that we get and make good decisions about where to adjust those allocations based on what we learned. So I think it's a couple of factors that are paying off for us.
Operator: Our next question comes from Michael Millman of Millman Research.
Michael Millman - Millman Research Associates: This year, it looks like you're getting back to that magic double-digit revenue growth. Do you think that Intuit's flair to stay over the next several years? Also, regarding the Tax this year and you touched upon it, your revenue was greater than your units, does that mean you were doing less free or more monetization of free? And maybe you could give us some quantification of that. And on Tax as well this year, do you think you benefited from the restricted RAL [refund anticipation loan] environment? And if we should have generally available RALs going forward, do you think that would be somewhat of a headwind? And then you can complicate that by we might have RALs next year but we might not have DI, and how might that affect the opportunity to increase TurboTax?
Brad Smith: So a couple of things. Let me go first to the double-digit question. Our goal is to grow the company double-digits organically and to continue to do that faster than expenses, so we get good operating leverage and it produces operating income that's in line with that -- good cash flow in line with operating income. And so the net-net is we'll provide the guidance for next year in August. But I think what you see is what we believe and that is that we have good core businesses that have high share relative to their competitors, but still low penetration relative to the total market opportunity, and that if we continue to execute well, we can grow this company double digits organically and generate good operating leverage while we do it. In terms of Tax, you asked about revenue growing faster than units and what the source of that was. I would tell you that our primary goal continues to be to get more people to move into the do-it-yourself category. That's always going to be our first priority. And so we want to get more of that 138 million people filing taxes, either with desktop or online software. At the same time, we've gotten smarter and better about how to do free-to-pay conversion or actually how to get customers to understand the value of some of our higher-priced products. So the mix is favorable, and that's what's helping drive revenue this year relative to units. Going forward, we'll have to see if that continues to play out, but our goal will always be to grow our units, and then make sure we're getting maximum revenue per unit. You asked also about RALs and whether that benefited us. I would honestly tell you, Michael, that I think the primary driver of the benefit this year is the secular change that continues to be people moving to do-it-yourself solutions and away from some of the higher-priced alternatives. That's not a new phenomenon this year. And in terms of RALs, as you know, they've been in the market for many years, and we actually pulled out of the RAL business about a half a dozen years ago and we've been able to grow this business double digits without having a RAL offering. So I don't believe that having the RALs back in the market materially changes the landscape for this business. I will admit that it certainly had a tough impact on a few of our competitors this year, but I think the overall structural change in the market and our ability to offer a solution that is as good a value at a lower price is what's going to continue to drive growth for many years to come in this business.
Michael Millman - Millman Research Associates: Was your free Tax offerings growth in line with the total this year? Or was it more or less?
R. Williams: I was just going to say that we don't break out mix.
Brad Smith: Yes. Our Investor Relations team is always able to keep us straight and narrow here. My short answer to your question would be, Michael, in addition to what I was just coached on that there were no surprises in terms of how things shook out for us this year in our Tax business.
Operator: Our next question comes from Brad Sills of Barclays Capital.
Bradley Sills - Barclays Capital: Just a question on Payments. You had 16% growth in merchants, very strong. Could you comment on where that's coming from? Is that new non-QuickBooks customers? Is it cross-sell into QuickBooks? And then also just a little color on how the cross-selling activity is within the installed base of Payments?
Brad Smith: Yes, Brad, first and foremost, the biggest source of the new customers are coming from better penetration into the QuickBooks space. It's a ripe opportunity for us. We have single-digit penetration today, and we'll continue to get better at In-Product Discovery, so customers who actually have someone paying them can sign up very easily to accept credit cards or debit cards. The second source is the new front doors that we're introducing into our franchise. We have Intuit Websites that you can now have online payment capabilities. And when we acquire Medfusion, it will be a owned asset. But today, we have a partnership with them, where we also offer our payment capabilities through their medical portal and, today, about seven out of 10 customers who signed up for Medfusion are signing up with that Payments capability embedded. The last source is we've been introducing new Payments products that now represent about one out of five of all the new customers we're selling. An example is GoPayment, which is our mobile Payments offering that can take your cell phone and turn it into a payment processor. So those are the three sources, but it starts with QuickBooks penetration. It starts with attaching to other products like Websites and at introducing new Payments capabilities like mobile phone payments.
Bradley Sills - Barclays Capital: And then, is there any displacement in the installed base of what they're currently running? Or are these kind of customers that weren't running payment solutions prior to?
Brad Smith: It's about a 50-50 mix. Many are for the first time enabling themselves to take an electronic payment, and the others are finding the value in having an easy-to-use solution that then works seamlessly to QuickBooks. It doesn't require any additional terminal and doesn't require training of their employees, and so they switched over to our offering. So it's a 50-50 mix.
Operator: Our next question comes from Scott Schneeberger of Oppenheimer.
Scott Schneeberger - Oppenheimer & Co. Inc.: I guess, first off, obviously, some nice share gains in Tax. Brad, could you speak a bit to retention in TurboTax? Just how it compared to years past and an indication of the absolute level?
Brad Smith: Yes, Scott, thank you for the compliment on the quarter. We feel pretty good about the execution in Tax as well. We'll talk more about the retention of some of the other key metrics when we get together for Investor Day. I will tell you though that the continued improvement in our product and our continued execution in terms of our online marketing capabilities are showing up in terms of improved net promoter scores. And as you know, net promoter scores are a pretty good indication of which way retention is going to go. And so we'll talk more about that in the fall, but we feel good with the share gain and the improved customer experience this year.
Scott Schneeberger - Oppenheimer & Co. Inc.: And Free File Alliance, it came on a little bit at the end of the season, but it's fallen off and presumably because you and others are very strong with the free offering. In your discussions with government, what do you see as the future of Free File Alliance?
Brad Smith: Yes, the good news is that the industry and the IRS reached the five-year agreement to renew the Free File Alliance. And so that's the longest extension we've had since the program was originally started back in 2002, 2003. In terms of the opportunity to grow that, I think it comes down to the fact that it's continuing to have the IRS and the government health marketed, make sure that we've got really good offerings in there that are truly philanthropic, so people don't get cross-sold or up-sold because that really is a philanthropic effort. But I think the other point you made is in the commercial market, there are also free alternatives available now from lots of competitors, and that's another way for people to get access to free Tax software. And so net-net, I think that the government's commitments and the industry's commitment is to continue to push forward with this philanthropic effort. And at the same time, we found that a free model in the commercial market is also equally viable.
Scott Schneeberger - Oppenheimer & Co. Inc.: One, refund transfers, how was your relationship with your partners there? And how material is that? And then one for Neil, just curious what the board's view is on dividend right now?
Brad Smith: I'll take the refund transfer and then hand it over to Neil for the specific question for him. We have an assured supply line for us in refund transfer. We've worked with our partner. Things have worked out the way we had hoped. And our customers continue to see real value in the ability to pay for their Tax software out of the refund, and so we feel good about our viability of refund transfer today.
R. Williams: And as to the capital allocation question, Scott, we talked to the board about that every year when we do our financial plan in July and we'll do that again this year as well. We're very serious about applying all the cash that we generate, first of all, to growing the business internally and investing for internal organic growth, and we look at other opportunities that come along. And I've mentioned to you before about our returns that we expect when we require there. And then thirdly, the cash that we have, this leftover, we certainly want to return to shareholders. And depending on the valuation of our stock, word is today, we think that share buyback is probably the most effective mechanism for that. And we never say never, and so we'll talk about all the alternatives with the board in July. But so far, the approach we've taken is one that seem to work best for us.
Operator: Our next question comes from Jim Macdonald of First Analysis.
James Macdonald - First Analysis Securities Corporation: But on Medfusion, that's sort of an interesting space because there is a major player in that space. Could you talk a little bit about because you're usually the big gorilla in a space, and how that might shake out?
Brad Smith: Yes, Jim. First of all, we like the business a lot and for three reasons. The first is the customer base we understand. And 96% of the outpatient providers out there have fewer than 10 employees, so they are small businesses. And the patients are consumers, and this is a portal business. And so we know portal businesses. We know online services. And we know consumers and small businesses. So we like that it's right in our sweet spot. The second is we love the business model. It's a fast business and it's recurring revenue. The third is we see real opportunity to create synergy between our other offerings. You heard us talk about putting our Payments offering inside of that portal, and already 70% of the customers who are buying Medfusion's portal are using our Payments capability. And then the other is we're able to take Medfusion and sell it into the 75,000 practices that use QuickBooks today. So there's a real good strong business opportunity for us. In terms of the competition, this is actually a very highly fragmented space. Today, if you look at Medfusion's share, they have a 65% share of the space for the outpatient provider market we're focused on. I realized there are a lot of other names. There is GE with their offer. There is RelayHealth. You hear a bunch of different names and they're in multiple parts of the business. But if you actually look at the market data, they have a 65% share of a market that's only 5% penetrated today. Only 5% of doctors' offices have actually implemented a patient portal. And so this is sort of like the Online Banking 10 years ago. We see this actually going to be growing quickly as people move to electronic records, and we actually are the share leader today with 65% share once Medfusion joins the company.
James Macdonald - First Analysis Securities Corporation: Just to follow up on that. How do you define that segment because I would have thought RelayHealth was larger?
Brad Smith: Yes, if you look at the specific offerings that RelayHealth may offer and others, we're looking at the patient portal itself, which delivers the capabilities we talked about: The ability to offer the information on the doctors' offices; the ability to do secure messaging; to be able to do pre-appointment forms and scheduling; and to do online payment. And when you look at that, that market and that particular niche of the market, that's the market we're defining today.
James Macdonald - First Analysis Securities Corporation: You didn't repurchase that many shares in the quarter and your cash built up a lot. Any reason for that?
R. Williams: Well, Jim, we purchased the shares we get in our plan. A couple of reasons, we had a much better quarter than we expected, so that accounted for a lot of the cash that came in. And clearly, where our stock has been, it's enabled a lot of our employees to take advantage of the stock option exercises, which was another big source of cash for us. So this is the high point in our year in terms of cash accumulation. So we're not getting too excited about that. But this is the time of year with a great quarter. And with the stock price we've enjoyed over the last few weeks, it's been good for our cash in a couple of different ways.
Operator: Our next question comes from Sarah Friar of Goldman Sachs.
Stephanie Withers - Goldman Sachs Group, Inc.: It's Stephanie Withers on for Sarah. Just a couple of quick ones. So the Payroll business, could you give us an idea there of the penetration or an update there of the penetration of the QuickBooks user base? And then secondly, it looks like there was a bit of step up in G&A this quarter, just wondering if there's something extraordinary there? Or what we should expect for the rest of the year?
Brad Smith: Yes, Stephanie, I'll take the penetration for Payroll, and I'll let Neil jump in on the G&A explanation. Today, out of the 4 million small businesses that use QuickBooks, about 2.5 million have employees that they pay payroll to, and we currently have about 1.1 to 1.2 million of those. So call it roughly 40% penetration with plenty of room to go. The other exciting thing is there's another 7.5 million small businesses in the market that don't use QuickBooks. They do have employees and do payroll. And that's why we bought PayCycle, and we're excited about that because it opens up an opportunity to grow into the other 7.5 million customers that we don't currently serve today. So those are the penetration numbers, exciting opportunity and lots of headroom.
R. Williams: And Stephanie, on the G&A, that goes back to what I mentioned earlier. The increase in our incentive plan accrual versus the third quarter of last year when we actually took the accrual down coupled with some collection expenses in TurboTax are the two things that make G&A off trend for the third quarter. There's some other dogs and cats in there, but those are the two big drivers of the increase in Q3.
Operator: Our next question comes from Yun Kim of Broadpoint.
Yun Kim - Broadpoint AmTech, Inc.: For the Financial Management segment, if you can tell us at least at the high level, how much of that revenue growth there was driven by new customers buying paying versions initially or versus existing customers just simply upgrading to higher pay versions?
R. Williams: Sorry, are you in the Tax business?
Yun Kim - Broadpoint AmTech, Inc.: No, I'm talking about the QuickBooks.
R. Williams: And SMS?
Yun Kim - Broadpoint AmTech, Inc.: Yes.
R. Williams: So it really wasn't much of an impact from free folks. We've got a real nice surge in desktop product as Brad mentioned and that's all paid, and then the continued growth in both QuickBooks Online, the Enterprise edition and in our Websites business. All of which may start with a discounted first month, but then it goes quickly to a paid model.
Yun Kim - Broadpoint AmTech, Inc.: So a lot of that growth was driven by existing users upgrading to a pay version from a...
R. Williams: No, no, it's existing users who maybe upgrading from a paid to a new paid, so getting to a current version and then also new folks coming in on a paid version.
Yun Kim - Broadpoint AmTech, Inc.: And then also, when you look at the adoption curve of desktop and online users for QuickBooks, I am assuming that you are seeing a faster adoption of online users for higher-pay versions of QuickBooks and also for Payments and Payroll solutions and other stuff. Is there some lever that you guys can control to speed up that adoption curve by running more aggressive promotions like free-to-pay? Or do you feel comfortable with the current conversion rate?
Brad Smith: Yes, Yun, actually, what we really feel good about is we have a choice for customers to decide which way they want to do it. And we are seeing a faster ramp online, but that ramp is often with smaller base, so the percentages are misleading. We'll still come in the neighborhood of 1 million and 1.4 million to 1.5 million units on desktop this year. And they'll be in the neighborhood of about 200,000, but they'll be QuickBooks Online subscriptions. So it is grow fast, and we do believe that's going to be the future. But if we're sitting here today, we would tell you, you've got another good decade of QuickBooks desktop out there, while you also see online continue to get more and more available. What we are doing to desktop customers, as you know, as part of our connected services strategy is to create services that are more web-based that connect to the desktop product so you can access your information through the website or through a mobile device. And that will also start to give the desktop customers benefit that online customers can have. But we like the model that we have, which is offering them two alternatives, and we do see the future going more online. And we'll be ready, and we're here with them when the customers are ready to make that change.
Yun Kim - Broadpoint AmTech, Inc.: And then quickly, Neil, if you can quantify the exact R&D credit that you are no longer expecting in your Q4 guidance?
R. Williams: It's about $0.015 to $0.02 on a full year basis. That's what we had in our forecast in the early part of the year that we took out for the guidance that we put out today.
Operator: Gentlemen, that's all we have time for today. I'll turn the call back over to you for any final comment.
Brad Smith: Thank you, Patty. And again, thanks, everybody, for joining us today. I know it's been a wild ride for everybody in the market. Obviously, we feel good about our quarter. We feel good about the outlook for the year. The important thing we want to leave you with is we're starting to see strength across the board in all of our major franchises. While there's subtle improvements, we still have a way to go to get to a full roaring economy again. But I think between the improvements we're seeing in the execution, we feel good about our prospects, and we're looking forward to talking to you again next quarter. So thanks again.
Operator: Ladies and gentlemen, thank you for participating in today's conference call. This concludes the call.